Operator: Good evening and thank you for standing by for New Oriental's fiscal year 2024 First Quarter Results Earnings Conference call. At this time, all participants are in a listen only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn over to your host today, Ms. Sisi Zhao.
Sisi Zhao: Hello, everyone, and welcome to new Oriental's first fiscal quarter 2024 earnings conference call. Our financial results for the period were released earlier today and are available on the company's website as well as on newswire services. Today, Stephen Yang, Executive President and Chief Financial Officer, and I will share Oriental's latest earnings results and business updates in detail with you. After that, Stephen and I will be available to answer your questions. Before we continue, please note that the discussion today will contain forward-looking statements made under the safe harbor provisions of the US Private securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the view expressed today. A number of potential risks and uncertainties are outlined in our public filings with the SEC. Oriental's does not undertake any obligation to update any forward-looking statements except as required under applicable law. As a reminder, this conference is being recorded. In addition, a webcast of this conference call will be available on New Oriental's Investor Relations website at investor neorental.org. I will now first turn the call over to Mr. Yang. Stephen, please go ahead.
Stephen Yang: Thank you, Sisi. Hello everyone, and thank you for joining us on the call. It's our great pleasure to announce the New Oriental has painted an encouraging start of fiscal year 2024 by delivering a set of robust financial results this quarter, with top line performance beating the high end of our expectations. Following a tireless year of trial and development, our multipronged business lines have pivoted towards a stable recovery and anchored fruitful yields. Many benefiting from the strong post-COVID recovery of demand conception and traveling, while our new business have begun making meaningful contributions to the company's revenue, thereby invigorates growth and margin expansion. Our bottom line performance has also achieved a promising growth. Our operating margin and non-GAAP operating margin reaching 18.6% and 22.3% respectively for this quarter, depicting a solid resilience across our business lines. Thanks to our ongoing efforts in brushing up on operational efficiency and cost control/ The delegated blend of our restructured business model, better utilized resources and streamlined cost structure have sharpened our capability to yield better than expected margins in this fiscal quarter. As well as enlivens our exploration and ingenious ventures, coupled with the company's sustainable profitability resilient business lines and emerging new initiatives, we have firm conviction in maintaining a healthy growth of our market share and creating sustainable value for our customers and shareholders in the long term. Now, I would like to spend some time to talk about the quarter's performance across our remaining business lines and new initiatives to you in detail. Our key remaining business secured a promising trend coupled with a positive momentum in our new initiatives breaking down. The Overseas Test Prep Business recorded a revenue increase of 52% in dollar terms, or 62% in RMB terms year over year for the fiscal quarter of 2024. The Overseas Study Consulting Business recorded the revenue increase about 27% in dollar terms were 35% in our RMB terms year over year for this quarter. The Adults University Students business recorded the revenue increase of 26% in dollar terms, or 34% increase in RMB terms year over year for this quarter. As mentioned in the past quarters, we have quarter as mentioned, in the past quarters, we have launched several new initiatives which mostly revolve around facilitating students all around development. I'm pleased to share that these initiatives have continued to exceed our expectations by yielding consistent growth and meaningful profit to the company. Firstly, the non-dynamic children [ph] business which we have offered in around 60 existing cities focus on cultivating students innovative ability and comprehensive quality. We're happy to see increased penetration in those markets we have tapped into, especially in higher tier cities. With a total approximately 438,000 student enrollment recorded in this fiscal quarter, the top ten cities in China contribute over 60% of the revenue of this business. Secondly, the Intelligent Learning System and Device Business, a service designed to provide tailored digital learning experience for students, has been adopted around 60 cities. We're thrilled to see improved customer retention and scalability of this new business. With approximately 181,000 active paid users reported in this quarter. The revenue contribution of this initiative from the top ten cities in China is around 60%. Our Smart Education business, educational materials and digitalized smart study solutions have continued to contribute material result to the overall advancement of the company. In summary, our new education business initiatives recorded the revenue increase of 103% in dollar terms or 117% increase in RMB terms year over year for the first quarter of 2024. In addition, beginning in this fiscal year, we're pleased to announce a newly integrated business line which will be comprised all of our tourism related business targeting diverse age groups. This includes our well grounded Study Tour and Research Camp Business for students of K-12 and University Ages, as well as our newly established tourism business that mainly serve middle aged and senior audience. Upon consolidation, this tourism related business line will utilize new rental strengths of knowledge sharing star teachers and reputable branding to visualize our capability in serving customers for eight group. It's our great pleasure to share the performance of new business line in detail. Our Study Tour and Research Camp Business an initiative that aims to offering students of K-12 and university ages the opportunity to utilize their free time to broaden the scope knowledge and cultivate subject interest has achieved encouraging growth in this summer. Thanks to the strong post COVID recovery of demand, resumed consumption and traveling. We have conducted Study Tour and Research Camp in over 50 cities across the country, with the top ten cities in China offering over 55% of the revenue share of this new initiative. We fondly expect the new business to contribute minimum revenue in this fiscal year. In addition to success of our Study Tour and Research Camp offerings, we also began venturing into the tourism business to expand our reach to all age groups, including the middle aged and elderly individuals. During this fiscal quarter, we piloted a number of top quality tourism offerings in featured provinces, including Zhugejiang, Su, Chuan, Shanghi, Gansu and Hunan, and we're sincerely grateful for the increasing traction that these noble adventures have gained, as we are still at a very preliminary stage of planning, testifying, and evaluating the visibility of this business in selected districts. We will keep you posted should there be timely updates on this new vote. With regard to our OMO system, we have persist in revamping our platform and leveraged our educational infrastructure and technology edge on remaining key business and new business with a vision to provide advanced, diversified education service to customers of all ages. During this reporting period, a total of all ages during this reporting period, a total of $45.6 million has been invested in our OMO teaching platform, which equips us with the flexibility to maintain top notch service to students during the pandemic. During this reporting period, East Buy has embraced a multiplatform strategy through an official debut on new platforms including Taobao and its own app, in order to enlarge its customer base and amplify its brand influence. East Buy consistently adhered to developing its private label products that are healthy, tasty, high quality, with good value. For money, and has attained instrumental breakthroughs with streams of new products roll out each month from groceries to daily necessities Easter Buys live streaming ecommerce has not only helped customers reap good bargains, but also helped farmers, producers and local enterprise sell their products through strategic marketing strategies. In addition, the brand continued to join hands with local government to promote unique agriculture products from region to region, nurturing public appreciation towards diverse cultures through inventive content. It also pioneered a new mode of live streaming that incorporated with the product traceability, by which our lead teams would unearth the regions of our private label products, factories and ochre [ph] Our live streams have thereby offered assurance to the customers through guaranteeing products authenticity and visibility. With regard to the company's latest financial position, I'm confident to share with you that the company is in a healthy financial status with cash and cash equivalent term deposit and short term investment totaling approximately $4.6 billion, $4.6 billion. On July 26, 2022, the company's board of directors authorized the share repurchase of up to $500 million [ph] of the company ADS were common shares during the period from July 28 2022 through May 31, 2023. The Company's Board of Directors further authorized the Company to extend its share repurchase program launched in July 2022 by 12 months through May 31, 2024. As of October 24, 2023, the Company repurchased aggregate of approximately 6 million ADS for approximately $193.3 million from the open market under this program. Now I will turn the call over to Sisi to share with you about the key financials. Sisi, please go ahead.
Sisi Zhao: Now, I'd like to walk you through the other key financial details for this quarter. Operating cost and expenses for the quarter were $894.9 million, representing a 34.2% increase year over year. Non GAAP operating cost expenses for the quarter, which exclude share based compensation expenses were $855.3 million, representing a 32% increase year over year. The increase was primarily due to the cost expenses related to the substantial growth in East Buy, a private label products and live streaming ecommerce business. Cost of revenue increased by 41.4% year over year to $441.2 million. Selling and marketing expenses increased by 37.9% year over year to $136.1 million. G&A expenses for the quarter increased by 24% year over year to $317.6 million. Non GAAP G&A expenses, which exclude share based compensation expenses were $290.3 million, representing a 22.3% increase year over year. Total share based compensation expenses, which were allocated to related operating cost expenses increased by 108% to $39.6 million in the first quarter of 2024. Operating income was $205.1 million, representing a 163% increase year over year. Non GAAP income from operations for the quarter was $244.8 million, representing a 152.2% increase year over year. Net income attributable to New Oriental for the quarter worth $165.4 million rental for the quarter worth $165.4 million, representing a 150.6% increase year over year. Basic and diluted net income per ADS attributable to New Oriental were $0.99, respectively. Net non GAAP net income attributable to New Oriental for the quarter was $189.3 million, representing a 126.2% increase year over year. Non GAAP basic and diluted net income per ADS attributable to New Oriental were $1.59 [ph] and $1.13 [ph] respectively. Net cash flow generated from operation for the first fiscal quarter of 2024 was approximately $335.8 million and capital expenditure for the quarter were $132.5 million. Turning to the balance sheet, end of October 31, 2023, New Oriental had cash and cash equivalents of $1,748.9 million. In addition, the company had $1,399.4 million in term deposit and $1,423.9 million in short term investments. New Oriental's deferred revenue balance at the end of the first of fiscal quarter of 2024 was $1,401.4 million, an increase of 38.4% as compared to $1,012.5 million at the end of the first fiscal quarter of last fiscal year. Now hand over to Stephen to go through our outlook and guidance.
Stephen Yang: We're confident embarking a healthy journey of sustainable growth for the rest of this fiscal year. Building on the combination of our brand advantage, rooted history, influential teaching, content and resources, and solid foundation.0 We're also committed to work diligently adhering to the latest guidance from the Chinese authorities on enhancing the nation's education level to strengthen its leading position to further unveil our potential in all business lines and creative endeavors. With regards to the learning center and classroom space, we plan to increase our capacity by about 15% to 20%, by which a reasonable amount of new learning centers is expected to be opened. While classroom areas of some existing learning centers will be expanded in a few major cities, most of the new openings will be launched in the cities with better top line bottom line performance. We will keep monitoring the pace and scale of the new openings according to the local operation and financial results in this fiscal year. Despite the historical seasonality of some new rentals major businesses which will usually result in a slower period for every second quarter, we remain confident in sustaining a healthy growth across all business lines. In summary, we expect total net revenue in the second quarter of fiscal year 2024 to be in the range of $785.0 million to $804.2 million, representing year over year increase in the range of 23% to 26%. To conclude, we're confident in achieving satisfactory operating profit level and improving our profitability in the rest of fiscal year 2024. As always, new rental plays great determination to cultivate new endeavors and are bolstered our existing capabilities simultaneously will devote reasonable resources on research and application of new technologies such as AI and Chat GPT into our educational and product offerings with a vision to uplift our strengths and pursue the growth and operational efficiency in future. We will also continue to seek guidance from and cooperate with government authorities in align with these efforts to comply with the relevant policies, regulations and measures, as well as to further adjust our business operations as required. I must say that these expectations and forecast reflect our considerations of the latest regulatory measure as well as current and preliminary view measure as well as current and preliminary view which is subject to change. This is the end of our fiscal year 2024 Q1 Summary. At this point, I'd like to open the floor for questions. Operator, please open the call for these. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Yiwen Zhang with China Renaissance. Your line is now open.
Yiwen Zhang: Hey, thank you. Good evening management. Thanks for taking my question. So my question is about our November quarter revenue guidance. If we look at the worldwide growth, there was a bit deceleration versus the August quarter. Can you walk through us? What are the drivers behind? And probably you can also talk about how do we say the growth outlook across different segments. Thank you.
Stephen Yang: Yeah. As for the revenue guidance for Q2, actually it's not the deceleration. I want to emphasize the following points of the Q2 guidance. Firstly, as always, we take a conservative approach in giving the guidance of Q2. Secondly, the exchange rates negatively impact the revenue growth guidance by approximately 3 basis in point. Thirdly, I think it also need to be noted that typically Q2 is our seasonally slow quarter for most our education business with the lower than euro revenue and profit. Given the strong the demand of the growth momentum we have seen so far this year, we're quite confident that the whole year's revenue growth will be better than we originally expected. Especially in last quarter, we give the guidance for the top line growth and this quarter I think we gave the better the guidance or higher guidance than that of the last quarter for the whole year. And lastly, East Buy will start to have a higher base comparison since Q2 this year. And overall, I think benefiting from the post COVID the economy recovery, we have seen strong demand in education sector, especially in the overseas related business and non damaged children business. And by leveraging our brand, the advantage of new rental and the good content and resources and our long established solid foundations, I think we'll continue to see great opportunity and to take more market share in the future. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Felix Liu with UBS. Your line is now open.
Felix Liu: Hi, good evening, management. Thank you for taking my question. And congratulations on the very strong first quarter results. My question is on your capacity plan. I noticed that in this quarter, your capacity, your Q on Q new learning center expansion accelerated from fourth quarter last year. So may I check your plan capacity plan from here? Do we expect this Q on Q new addition pace to maintain throughout this year? Or are there any seasonalities with capacity expansions quarter by quarter? And how do you see the regulation landscape or regulation environment around capacity expansions? Thank you.
Stephen Yang: Yeah, this quarter we added 6% new capacity in this quarter. And as you know, we increased our capacity expansion by about 15% to 20% for the whole year, fiscal year '24. And as I said, we will open a reasonable amount of new learning centers or new classroom areas in the top tier cities with the good performance of the top line and the bottom line and the top line and the bottom line. As I said, the demand in education sector is very strong. That's why we raised the guidance of the whole year of the top line growth and the Learning Center expansion plan for the whole year. As for the regulation side, I think so far so good. And I think going forward we expect the regulations will be stabilized in the future. And that's it. One more point I want to add. I think for the Q2, Q3 and Q4, I think we will following the guidance of the Learning Center expansion for the whole year 15% to 20% and maybe in the Q4, when we look at the budgets of fiscal year '25, maybe we will raise the guidance of the Learning Center expansion plan again in Q4. Yeah. Thank you.
Felix Liu: Okay, very clear. Thank you.
Operator: One moment for our next question, please. Our next question comes from the line of Lucy Yu with Bank of America Securities. Your line is now open.
Lucy Yu: Hi, Steven. This is Lucy. Speaker CI have a question on the margin. So this quarter we have seen the Op margin expanded a lot and reached like 22%, which is a pretty high level even compared to our historical kind of Op margin, especially in Q1. So how could we decoding the margin expansion and how should we think about the margin expansion for the rest of the year? Thank you.
Stephen Yang -: Okay. Thank you, Lucy. Let us start with this quarter margin analysis. The GP margin, the Op margin increased a lot in this quarter was mainly driven by the following reasons. Number one, the utilization, improving of our Learning Centers and teaching resources increased the Learning Center margin. That means we have lower fixed cost and expenses compared to that of last year. And number two, [indiscernible] margin is over 20% in this quarter. The profit growth is faster than we expected two years ago. We started the business two years ago and the recovery of the remaining business, especially in the overseas related business, generated a higher margin in this quarter. It's definitely higher than that of last year. And number three is East Buy enjoys a higher margin. And as we head into the fiscal year '24, Q2, I think with operating leverage and higher utilization and the remaining business lines and the new business lines will generate the more profit to the group. And I think we are optimistic on margin expansion and sustainable profitability in Q2 and in the rest of the whole year, I think the whole team will continue to work together to seek profitable growth in fiscal year '24. And I think we believe we'll create more values to the shareholders over the long run. Thank you.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of DS Kim with JP Morgan. Your line is now open.
DS Kim: Hi, Stephen. Hi, Sisi. Good evening and thanks for taking my question. And by the way, congrats on the quarter. I think 245 million Op is the second best level on record, which is pretty amazing. Anyway, I have a high level question on long term growth, if that's okay. I guess we talked a lot about new businesses which are completely different animal and can continue to grow triple digit, I'm sure. But for old businesses, existing businesses like overseas study high schools, how shall we think about the sustainable growth from here? I.e, Segment revenues, I think both of them are probably at backward high level, so it's no longer recovery phase. And what's going to drive the growth farther from here? Say, if you were to break out different levers like center expansions, we discussed 15%, 20% versus utilization growth, how much further room can we drive here? Utilization growth, how much further room can we drive here? And the price hikes, if any? And how shall we think about, say, next two to three years annual growth for the old businesses from here?
Stephen Yang: Thank you. For the existing business such as the overseas test grad, overseas consulting, and the adult and the university students business, I think let's analysis the market like this. On demand side, we have seen the strong demand for the overseas test rep consulting business and for the college business. And on supply side, after the COVID and the policy, we have seen a lot of players disappear from the market. So that means we're facing less competition. So I think the existing business, including the overseas related business and the adult and college students business, I think we will generate the top line growth very good in the next two to three years. So we are quite optimistic about the top line growth and the margin expansion for the existing business. And as for the utilization rates, right. And for overall in this quarter in Q1, Q1 is the high season of the educational product. So in Q One, the utilization rate in Q1 is somewhere around 65%. So that means the two thirds. But I think we have a long way to go. And you know, as I said, in this fiscal year we'll plan to open 15% to 20% new capacity. But our top line growth is we beat the guidance every quarter and then we raise guidance of the whole year top line growth. I think the healthy top line growth will cover the rentals of the new capacity. So that means we do have the operating leverage in hand. And going forward, I think you will see more operating leverage for all business lines. It will drive the margin up. Thank you.
Operator: Thank you. [Operator Instructions] We are now approaching the end of the conference. I would now turn the call over to New Oriental's Executive President and Chief Financial Officer Stephen Yang for his closing remarks.
Stephen Yang: Again, thank you for joining us today. If you have any further questions, please do.
Sisi Zhao: Operator, we probably have one more question from...
Operator: All right. Okay, thank you. One moment for our next question. A question from Kan Wang with CICC. Your line is now open.
Kan Wang: Hi, Stephen, Sisi, good evening. This is Kan Wang from CICC. So congrats on very strong set of results. So I just have a quick question. Our Intelligent learning devices, so we've seen that the active PEC users this quarter had a quite impressive growth, like double Q on Q. So actually, what is driving such a strong growth and how would we expect this business in the medium term? Thank you.
Sisi Zhao: Okay. Yeah, actually we're very satisfied with the development of the new initiatives, especially for this kind of targeting younger kids like K-12 students, new initiatives like the new intelligent Learning device business. Last year we rolled out in almost all the cities and now we're seeing a huge demand for the service. It's quite innovative in terms of the offering, using all the technologies that we accumulated in last several years, that we have the cutting edge technology and content as well, and offering students a unique experience that helps students to enhance their academic study ability, especially self study ability as well. So actually, the demands in all kinds of cities, high tiers, low tiers, are all very strong. And we are confidence in this kind of user. We are confidence in this kind of user number increase improvement year over year. And definitely we're also in the process of enhancing the quality of our products and the services as well. So we will make efforts in increasing the user number as well as enhancing this kind of subscribing fee renewal rates as well. And also we want to expand to more subjects for all the existing users. So, in summary, actually the high demand and also the best content and technology and all the service are the fundamental for the development for this new initiative. And we will try to continue to enhance the quality and try to maintain this kind of healthy growth for this new initiative.
Kan Wang: Okay, thank you, Sisi.
Operator: Thank you. One moment for our next question. Our next question will come from the line of DS Kim with JP Morgan. Your line is now open.
DS Kim: Hi, sorry, can I follow up one more question here regarding share holder return policy. I do think that our stock is very cheap still, but I noticed that the buyback activity past three months has been pretty minimal. I'm just wondering, given the stock rally so far, have you considered shifting the policy a little toward dividend or some other way? Or are we going to keep reiterating this buyback policy for the rest of the year and next year? Thank you.
Stephen Yang: Yeah. As you know, we announced a $400 million share buyback plan so far, we finished $193.4 million, and I think we will buy more shares going forward in the rest of this year. And as always, we aim to create more values to the shareholders on capital return side. Thank you, DS.
Operator: Thank you. [Operator Instructions] We are approaching the end of the conference call. I will now turn the call over to new Oriental's Executive President and Chief Financial Officer Stephen Yang for his closing remarks.
Stephen Yang: Again, thank you for joining us today. If I have any further questions, please do not hesitate to contact me or any of our investor relations representatives. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect everyone. Have a wonderful day.+